Operator: Good morning, ladies and gentlemen, and welcome to JetBlue Airways First Quarter 2011 Earnings Conference Call. Today's call is being recorded. We have on the call today Dave Barger, JetBlue's CEO; and Ed Barnes, JetBlue's CFO. Also on the call for Q&A is Robin Hayes, JetBlue's Chief Commercial Officer. As a reminder, this morning's call includes forward-looking statements about future events. Actual results may differ materially from those expressed in the forward-looking statements due to many factors, and therefore, investors should not place undue reliance on these statements. For additional information concerning factors that could cause results to differ from the forward-looking statements, please refer to the company's annual and periodic reports filed with the Securities and Exchange Commission. At this time, I would like to turn the call over to Mr. Dave Barger. Please go ahead, sir.
David Barger: Thank you very much, Sandra. Good morning, everyone, and thank you for joining us today. This morning, we announced first quarter net income of $3 million or earnings of $0.01 per diluted share. This first quarter results reflect the impact of a 35% increase in fuel prices year-over-year. Despite having paid $91 million more for fuel in the first quarter than we would have paid at last year's prices, we reported a 5.5% operating income improvement year-over-year. Our first-quarter results and fourth consecutive quarter of profitability demonstrate our continued focus on disciplined growth and profit maximization, while maintaining a strong liquidity balance. I'd like to take this opportunity to thank our 13,000 crew members for another exceptional effort in delivering the JetBlue experience to our customers each and every day. Our success depends on running a safe, reliable, customer-oriented and highly efficient operation. Our first quarter results reflect the hard work and dedication of our crew members. We generated record first quarter revenues of more than $1 billion, which is a 16% year-over-year improvement. Our first-quarter revenue performance exceeded expectations as the stronger fare environment contributed to significant year-over-year revenue gains. Additionally, our January and February Passenger unit revenue results outperformed the ATA domestic industry average. Passenger unit revenues were up 14% versus last year, driven by an 8% increase in yield. During this period our average one-way fare was $150, our highest quarterly average fare ever and a 6% improvement year-over-year. These higher fare levels reflect the strong demand environment and our ability to attract higher-yielding customers. In the first quarter, each of our regions produced a year-over-year RASM improvement, demonstrating the strength of our entire network. This impressive first quarter revenue performance showcases how we continue to capitalize on the investment we've made in Sabre during the first quarter of last year and the success of our network strategy. To that end, our network in Boston and the Caribbean has better positioned us to produce solid revenue performance. Boston and Caribbean capacity continue to grow, while the rest of our network capacity decreased by 2.5% in the first quarter. Our goal is to leverage the strength of our brand and to continue to invest and opportunistically take advantage of other [ph] airline capacity pull-downs in these regions, where we deem appropriate. Last week, we reached a milestone, operating 100 daily flights in Boston, further solidifying our position as the largest airline serving Boston Logan International Airport. By June, we will offer nonstop service to 42 destinations out of Boston, the greatest number of destinations an airline has ever served out of Boston. To put that into perspective, JetBlue flies to twice as many nonstop destinations as any other carrier in Boston. This certainly helps us build relevance to the high-value customer, those who traditionally travel for business. As part of this effort, we plan to begin service to Newark with 4 daily flights in May, seasonal service to Portland, Oregon, commencing in May and 3 times weekly service to Santiago in the Dominican Republic starting in June. We increased first quarter capacity in Boston about 20% year-over-year and expect to continue to benefit from competitive capacity reductions in JetBlue markets, which will decrease by approximately 3.5% year-over-year in the second quarter. As our footprint expands in Boston, we believe it is even more important for us to continue delivering a superior customer experience, both in the air and on the ground. To that end, we are working diligently with Massport to further enhance the ground experience by combining the 2 security checkpoints in our terminal, which should improve customer flow. The new centralized security checkpoint is expected to open in mid-June, which is certainly good news for those of you on the call in Boston. Moving to the Caribbean. In June, we expect to be the #1 carrier to Puerto Rico in terms of seats. By this summer, we expect to serve 7 destinations with 27 daily departures, and we are planning to add additional service from San Juan in May to Tampa and Jacksonville and to St. Maarten in November. San Juan is a great example of how we've been able to take advantage of competitive capacity reductions to strengthen our foothold. In San Juan, we plan to increase departures by roughly 25% year-over-year by this summer. In the Caribbean and Latin America, our visiting friends and relatives, or VFR traffic, complements our strong leisure traffic base from a seasonal and day-of-week perspective. This continues to enhance our overall revenue performance, especially during the shoulder periods. The Caribbean was our best performing region in the first quarter. Our most recent city opening in the Caribbean, Providenciales and the Turks & Caicos has exceeded our expectations and has performed extremely well from day 1. We will continue to add capacity in this region and take advantage of changes in the competitive landscape. We expect competitive capacity in the Caribbean to decrease by approximately 18% in the second quarter. By the end of this year, we expect nearly a quarter of our total system capacity will be in the Caribbean and Latin America. While our growth focus remains in Boston and the Caribbean, we continue to leverage our unique position as New York's hometown airline, along with our valuable slot portfolio at JFK to expand our partnership footprint. During the first quarter, we announced partnerships with LAN and Virgin Atlantic, allowing us to connect customers to South America and Western Europe. Our agreement with LAN covers connections at JKF, while Virgin Atlantic covers Boston, JFK, Orlando and Washington Dulles. We're also extremely pleased with the positive customer response these additional partnerships have produced and expect these benefits will continue. During the quarter, we added functionality to jetblue.com, enabling customers to book tickets that include segments on our airline partners. We began online interline sales with 3 of our partners, Aer Lingus, American Airlines and Cape Air. Until now, customers could only buy the sort of ticket directly from our partners or through a travel agent. As always, any interline ticket that includes space on JetBlue and one of our partners comes with the benefit of check-ins to the final destination and through check-in of baggage. We plan to add more partners that we can sell on jetblue.com later this year. As we have discussed in the past, partnerships are an extremely important part of our growth strategy. We plan to continue to expand beyond the current 9 partnerships we have in place to attract new customers and provide additional connection opportunities. Higher fuel prices and volatility in the oil markets continue to pressure all airlines. However, we believe we are well positioned to address this challenge. We have one of the youngest, most fuel-efficient fleets in the industry and a prudent fuel-hedging program to help reduce price volatility. One of the benefits of having a direct relationship with our crew members is being able to rapidly react quickly to market conditions. We have worked with our pilots on best practices such as single-engine taxi to conserve fuel. In today's high fuel environment, our continued focus on ex-fuel cost is imperative in order to remain competitive. We've been encouraged by the industry's ability to pass-through a portion of the fuel prices increases in the form of higher fares to our customers. This is a sharp contrast to the environment in 2008. As we discussed in January, our 2011 capacity plans support our continued expansion in both Boston and the Caribbean. Fuel prices have increased over 58% since January, and with that comes heightened urgency to make disciplined market and frequency decisions to maintain our financial strength. We now plan to grow our full-year ASMs between 6% and 8% in 2011, compared to 2010, representing a reduction of 1 percentage point from our previous guidance in January. We are reducing our capacity primarily through reductions in utilization and day-of-week pull-downs. In the second quarter, we expect capacity to increase between 7% and 9% year-over-year, driven mainly by the Easter and Passover holidays shifting to later in April this year. In closing, I'd like to, once again, thank our crew members for all of their contributions to the successful quarter. We are faced with a challenging landscape, given current fuel prices and the nature of our highly competitive industry. Nevertheless, I believe JetBlue remains well positioned. We believe we have one of the strongest liquidity positions in the industry, an effective fuel hedge strategy, and our network is generating solid revenue performance. Our profitable first quarter results reflect our focus on disciplined growth and investments in our business, which better positions JetBlue for continued customer loyalty and brand differentiation, while delivering long-term value to our shareholders. And with that, I'd like to turn the call over to Ed Barnes for a more detailed review of our financial results.
Edward Barnes: Thank you, Dave. Good morning, everyone, and thanks again for joining us today. I join Dave and the entire management team in thanking our crew members for their hard work in taking care of the 6 million customers who flew with us during the first quarter. We are very pleased to report net income of $3 million, despite having paid $91 million more for fuel in the first quarter than we would've paid at last year's prices. Along with the fuel environment during the first quarter, severe weather in the Northeast negatively impacted our operations, including several multi-day weather events. Despite these challenging events and fuel volatility, we believe the steps we have taken to manage our growth and build our network and maintain a strong liquidity position have enabled us to deliver a profitable first quarter. Improved revenue performance was a key driver of our profitability during the first quarter. Passenger unit revenues for the first quarter increased 14.1% compared to a year ago. Yield during the first quarter was up 7.7%, and load factor was up 4.6 points on a 1% increase in capacity. These results exceeded the guidance we provided in January, mainly driven by our significant yield improvement. In addition, severe weather in the Northeast in January and February resulted in lower than expected completion factor, which had a positive impact on PRASM. We're extremely pleased with our revenue performance for the first quarter and continue to be encouraged by bookings. During the quarter, revenue increases outpaced the significant fuel increase. While it is uncertain whether this trend will continue, it is certainly positive. Turning to this quarter's ancillary revenue performance, which we measure as a combination of ancillary revenue reported in passenger revenue and those in other revenue. Total ancillary revenue in the first quarter was about $21 per passenger, a 15% year-over-year increase. Recall that in the first quarter of last year, we waived a significant amount of change in baggage fees due to our system transition to Sabre, resulting in lower ancillary revenue and leading to strong year-over-year results in the first quarter of this year. In March, we implemented a $5 increase on our Even More Legroom product, which continues to exceed our expectations. In addition to the EML increase in March, we implemented a $5 increase on our second bag fee, which should help drive additional ancillary revenue this year. Fuel, of course, remains our most significant cost, comprising more than 1/3 of total operating expenses in the first quarter. Since our guidance in January, we have aggressively managed our fuel portfolio and volume hedge. For the second quarter, we have hedged approximately 43% of our anticipated jet fuel requirements using collars and crude call options. We are planning on a fuel price of $3.37 per gallon in the second quarter and $3.32 for the full year, including the impact of hedges and taxes. The underlying details of our hedge positions are more fully -- are more specifically outlined in our investor update, which will be filed later today. As indicated in the investor update, these prices are based on the forward curve as of April 15 and exclude transportation and the plane fees. We continue to actively manage our fuel hedge portfolio and have one of the youngest most fuel-efficient fleets in the industry, somewhat mitigating the impact of fuel volatility. We also continue to reduce flights that underperform at higher fuel prices. Excluding fuel, our first quarter unit cost rose approximately 6% year-over-year. This was slightly worse than our guidance, as weather-related flight cancellations reduced our planned year-over-year ASM growth by about 1 percentage point. Excluding the impact of these flight cancellations, ex-fuel costs would've been in line with our January guidance. Our maintenance expense for ASM increased 34% year-over-year. This was primarily attributable to the gradual aging of our fleet, additional aircraft out of warranty and an increase in the number of heavy maintenance checks performed year-over-year. Sales and marketing expense increased about 12% for ASM year-over-year, mainly due to the timing of a new advertising campaign and a reduction in advertising spend in the first quarter of last year, which was unusually low due to our Sabre cutover efforts. Aircraft rent increased about 8% per ASM year-over-year, driven by the 6 used [ph] A320 aircraft we began leasing last year. Salaries, wages and benefits increased approximately 7% year-over-year due to the increasing seniority of our crew members and additional training associated with our growth plans for the second half of the year. Moving below the line, interest expense decreased 5.3% year-over-year or $3 million due to lower debt balances. Interest income and other increased $2 million due to gains from the mark-to-market of fuel derivative contracts. We ended the quarter with unrestricted cash in short-term investments of $1.1 billion. During the first quarter, we made approximately $40 million in debt and capital lease payments. Our scheduled principal payments from debt and capital leases are expected to be a very manageable $50 million in the second quarter and $95 million for the second half of the year. In regards to the fleet, JetBlue ended the quarter with 164 aircraft. During the first quarter, we took delivery of 1 EMBRAER E190 and 2 Airbus A320 aircraft. Through the remainder of this year, we are scheduled to take delivery of 2 additional A320s, 1 in the second quarter and 1 in the fourth quarter. 1 of our E190 deliveries will be moving from the second to the third quarter due to limited availability of aircraft engine parts manufactured in Japan. Including this delay, we are expecting to take delivery of 1 E190 in the second quarter, 2 in the third quarter and 1 in the fourth quarter. We are also returning a leased E190 aircraft in the second quarter. With these deliveries and returns, we expect to end 2011 with a fleet of 169 aircraft comprised of 120 A320s and 49 E190s. We continue to focus on growth funded by cash from operations in aligning our aircraft order book and network strategy. To that end, we have exercised an option to opt out of 2 E190 aircraft scheduled for delivery in 2013. We are now scheduled to take 5 E190s and 7 A320s in 2013. We believe we are better positioning JetBlue for the long term with these fleet actions. With regard to CapEx, we spent approximately $15 million in non-aircraft CapEx and $110 million in aircraft CapEx during the first quarter. We estimate capital expenditures of about $115 million in the second quarter and $500 million for the full year, $390 million of which relates to aircraft. Our non-aircraft CapEx includes $40 million related to LiveTV. With minimal capital commitments and debt maturities for the remainder of the year, we expect to end the year with cash as a percentage of trailing 12-month revenue of at least 25%. The current fuel environment puts pressure on positive free cash flow goals. However, we continue to focus on and take actions in pursuit of this goal. We believe with our strong liquidity, we remain well positioned in the current competitive landscape, and we can confidently weather today's fuel prices. We are pleased with our recent revenue performance, and demand for our service is strong. The benefits of industry fare increases and the fuel surcharge on our Caribbean routes implemented in the first quarter are expected to have a greater impact going forward as those increases mature. In April, which has the benefits of a late Easter and Passover holiday, we expect PRASM to increase approximately 12% to 13% year-over-year. The timing of these holidays tend to have a greater impact on our monthly results due to our VFR traffic and strong leisure [ph] focus. Our May visibility is still somewhat limited due to the close-in nature of our booking curve, but we are pleased with the bookings thus far. We currently expect PRASM to increase between 15% and 17% year-over-year for the month of May. With higher fuel prices pressuring cost, we continue to focus on maintaining our low-cost structure. Given recent fuel prices in the second quarter, we expect CASM to increase 18% to 20% and 15% to 17% for the full year. In the second quarter, we anticipate that ex-fuel CASM will be up between 3% to 5% and will range between flat and 2% for the full year. In closing, given the current fuel environment, we are extremely pleased with our profitable first quarter, reflecting our continued commitment to our brand, customers, crew members and shareholders. We continue to diligently manage our growth and our costs to ensure that we maintain our industry-leading liquidity level, while still delivering excellent service to our customers. And with that, we're happy to take your questions.
Operator: Thank you. [Operator Instructions] The first question is from Michael Linenberg from Deutsche Bank.
Michael Linenberg - Deutsche Bank AG: I guess 2 questions. Dave, in your prepared remarks, you had talked about how JetBlue was outperforming on a RASM basis. And I'm just curious, are you looking at your RASM, and just -- are you comparing it to the domestic for the industry, or are you comparing it on a system basis?
David Barger: Really looking at it compared to the domestic landscape.
Michael Linenberg - Deutsche Bank AG: Okay. Thanks for the clarification. The reason I was asking is I know you've indicated now roughly 25% of your businesses is the Latin America piece.
David Barger: Right.
Michael Linenberg - Deutsche Bank AG: And I'm just -- I'm curious, if you have it -- you may not have that data available. And I know we can get it from Form 41 down the road, but if you would have that -- how you performed vis-à-vis breaking out into the Latin piece, Latin versus domestic if you have that at your fingertips.
Robin Hayes: It's Robin Hayes. The comparison that we give is the actually, I will state [ph], the adjusted domestic number. We do have the Latin number. It's not something that we have sort of shared externally, largely because our network down there is still very small compared to the competitive set, so it's probably not that meaningful.
Michael Linenberg - Deutsche Bank AG: Okay. And then just the second question. Ed mentioned -- he made the point about just feeling confident that you can weather, given the current fuel prices. And I would say, current fuel prices are high, and it looks like they're expected to be high through the full year just based on your fuel forecast. That said, you would suggest that from now, in order to at least hit the type of metrics that you've aspired to hit in the past, you would have to see some pretty meaningful fare increases to the latter part of the year. I mean, is that -- is that statement -- I mean, is that what's baked in there, that you think that the revenue trends that we're seeing now will continue through the year, that you feel that you'll have pretty good traction on keeping fares up at the level that we saw like in the March quarter, which I think was an all-time high, the 150?
David Barger: Yes, Michael. Again, I'll stay away from comments regarding fare actions into the future, but I think that, really, the fare increases that we've seen over the course of the first quarter -- and I think, our numbers, domestically and internationally, we participated in 13 of 20 of them. So we’re really starting to take a look at the forward curve of oil, which is pretty flat as you go out throughout the rest of the year. And then also, what we know about the revenue environment today, that's really what's driving the comments that we've seen tied into Ed’s prepared comments. And I think, also, you start to see whether it's the fare increases previously put into place or also the fuel surcharges down into the Caribbean that have been put in place. You start to really see the benefit of those over the course of the full year. So that's what's really behind that right now.
Michael Linenberg - Deutsche Bank AG: Okay. Very good, then. Thank you.
David Barger: Okay. Thanks, Michael.
Operator: Thank you. The next question is from Bill Greene from Morgan Stanley.
William Greene - Morgan Stanley: Dave, just a quick question about sort of how you think about participating in fare increases and not. When you're not participating, is it that you’re worried and you're seeing elasticity in demand? Or how do we think about why it would be sort of 13 out of 20 and not 20 out of 20, given what fuel's done?
David Barger: Yes, no, appreciate that Bill. Let me have Robin just comment on kind of the philosophy, if you will.
Robin Hayes: Yes, Bill. I think, as we think about fare increases, we start from the approach of being minded to want to participate. We have wanted to make sure as we’ve done that, that we think that, that's not going to choke demand or do something that may distract demand. So quite a lot of these increases have happened very quickly, and sometimes you just need to take a pause for a few days and see what's going on. At other times, it's possible that we have something different in mind and we just wanted to execute something a bit differently, and so we just waited for a different opportunity to do that.
William Greene - Morgan Stanley: Okay. And then when we look at sort of the capacity in CASM trade-off, you took down capacity a little bit, which would, I guess, suggests there is some elasticity you're seeing. And you kind of went toward the top end of the range on CASM. Does it suggest that there's almost a one-for-one relationship there? Or there’s stuff that you can do to take more cost out? If fuel keeps moving -- sort of just trying to figure out how reluctant you may or may not be to take out more capacity.
Edward Barnes: Yes. Bill, it's Ed, I don't think that we're reluctant to take out capacity. I think the question as to whether to take out capacity or not, is really kind of a network and rough [ph] profitability question related to fuel more than it is associated with our cost structure. Certainly, there are things that we can do to take additional costs out of our cost structure, but at this point in time, I think we're pretty confident in the investments that we're making in our brand and our customers and crew members. And we don't feel the need for that at the moment.
William Greene - Morgan Stanley: So in other words, it sort of safe to say that the pain point would sort of grow if we took more out? Or I'm not quite sure sort of why you wouldn't look to be taking out both costs, and if necessary, if you can't push the fares through the capacity. It wasn't quite clear to me.
Edward Barnes: Well, I don't think we want to overreact to fuel prices in the near term and stop making investments that are necessary for the longer term. And I think that you can make certain network actions, if you're not cash-flowing on of a specific route, maybe day-of-week-type actions or shoulder-period actions. But I don't think that impacts the investment that we're willing to make in the business.
William Greene - Morgan Stanley: Okay. All right, thanks for the time.
Edward Barnes: Thanks, Bill.
Operator: Thank you. The next question is from Jamie Baker from JPMorgan.
Jamie Baker - JP Morgan Chase & Co: A question for Robin. One of the things I've been thinking about at the industry level is whether carriers are spending too much time and money on expensive cost insurance, fuel hedging, and not enough time, actually, focusing on cost recovery as part of the process by which tickets are constructed. Some of the other domestic low-cost carriers, you look at Spirit, you look at Norwegian, they're trying to push the envelope in this regard. I'm just wondering if you think there's room for JetBlue to potentially revise how you construct the tickets -- or is the current model already optimized and the best thing that we’re ever going to do?
Robin Hayes: Jamie, I think, we're very committed to the value proposition for the customer. I think, it's important to us that, that brand loyalty -- we have a very high customer repurchase intent. So we don't want to do anything that jeopardizes that because we think that is what gives customers the reason to keep coming back to JetBlue. So we really focus on identifying revenue streams by offering new products and services to customers like EML and, really, where we kind of hit up on something that successful continuing to introduce [ph] that and then use that as a reason to increase the price point. So if you look at what we did with EML last year with the early boarding, what we’ll be rolling out in a couple of months with the this sort of onset of fast track security at selected airports and really using that to improve the product and improve the price point. I think, like our Getaways product and the growth that we're seeing there. So we've kind of taken that approach, rather than sort of nickel and diming and stripping and unbundling the product.
Jamie Baker - JP Morgan Chase & Co: And since you brought up expedited security, that's a topic near and dear to my heart, both as an analyst and a passenger. Could you give us a quick update on that?
Robin Hayes: Yes. I mean, it's something we're going to start to roll out here in a couple of months. Initially, at a selected a set of airports and then continuing to grow as we bring more of airports on-stream.
Jamie Baker - JP Morgan Chase & Co: But is that only for certain fare categories? Is that something like United, where you buy a pass from an e-ticket machine and then hand it in? A revenue driver or a loyalty exercise, I guess, is the question?
Robin Hayes: Well, we think it's both, because we think loyalty drives revenue, but it's going to launch as a benefit of the EML product.
Jamie Baker - JP Morgan Chase & Co: Got it. Okay. Thanks for the answers, Robin. Appreciate it. Take care.
Robin Hayes: Thank you.
David Barger: Thanks, Jamie.
Operator: Thank you. The next question is from Gary Chase from Barclays Capital.
Garrett Chase - Barclays Capital: I wanted to just clean up a couple of things, and then I had a broader question. Ed, when you gave the April numbers, do you think there's any significant impact for the way Easter has shifted on the calendar? And have you thought about quantifying what that might have done to your March revenue, and what it might be doing to your April revenue?
Edward Barnes: Yes. I think I'll let Robin actually take that one.
Robin Hayes: Yes. We normally -- we look at sort of March and April together because of the shift in Easter and Passover effect, but normally, the impact we see is sort of a 2% to 3% shift because of the change in the holiday.
Garrett Chase - Barclays Capital: But you don't have that full effect this year. So, really, what I'm after is I'm trying to get my arms around your previewing a number in May that would look to be a little bit of acceleration from where you are in April. And I'm wondering if, in fact, it's not even more acceleration, because April is being helped by this issue that we're talking about now. So you think it's in that 2% to 3% point range that you're talking about, even though we're not -- Easter isn't fully out of April this year or last year?
Robin Hayes: That's how we look at Easter between March and April. I mean, there's -- a comment about May. I think one of the reasons that we have spent so much time and investment in Boston is to allow us to build a business model that allowed us to fill the troughs in a bit better. And so that allows us, I think, the opportunity to continue to improve our performance during what has been some of the sort of troughs and shoulder months to JetBlue.
Garrett Chase - Barclays Capital: Would you characterize the guidance as acceleration the way I did, or is it more a function of maybe what happened last year when you didn't have enough of that off-peak traction, whether it was Boston or for other reasons?
Robin Hayes: I think that May, last year, was a tougher month for us as well. I think you got some of that in the annualized comparison, and then you have the sort of March to April shift due to Easter and Passover.
Garrett Chase - Barclays Capital: So you don't think May is a material acceleration over April?
Robin Hayes: No. I mean, I'm not surprised by May based on what we saw last year with May and what they're trying to do in Boston by either increasing the amount of business travel that we get up there.
Garrett Chase - Barclays Capital: Okay, and then just one last clean-up point, Ed, in your prepared remarks you said something about the competitive capacity in Boston, or maybe it was Dave, being down or more headwinds or less tailwind up from competitive capacity in -- as you look forward. To the best of my knowledge, no one's actually adding there. That's just a function of what happened a year ago, right, or am I wrong? Has somebody started to add capacity to Boston outside of you that we haven't picked up on?
Robin Hayes: No. I think, there's been a bit of additional capacity that one of our competitors was having back in Boston, but, overall I think we haven't really seen any significant shift.
Garrett Chase - Barclays Capital: Okay. Thanks, guys.
Edward Barnes: Thanks, Gary.
Operator: Thank you. The next question is from Duane Pfennigwerth from Evercore Partners.
Duane Pfennigwerth - Evercore Partners Inc.: Just wanted to ask about your other revenue and your total RASM growth. This is the first quarter in a while, where total RASM's growing faster than your passenger RASM. And just wondering, is there anything sort of one time in nature there, should we expect that trend to persist this year?
Robin Hayes: No. I think it was in some of the remarks that Dave gave. You do have a good quarter-on-quarter comparison because of the Sabre cutover last year. And we were waiving a lot of change fees that we didn't -- we kind of got back more into normal cadence with this quarter. And I think some of the price point changes to EML and the second bag fee, I think, happened later on, so you'll start to see that flow through.
Duane Pfennigwerth - Evercore Partners Inc.: So you think they should grow similarly or could RASM grow at a faster rate than PRASM this year?
Robin Hayes: Well, we kind of limit our comments on revenue to April and May.
Duane Pfennigwerth - Evercore Partners Inc.: Fair enough. And then just on your ex-fuel cost guidance, it looks like at the midpoint it implies about down 2% in the second half. And just wondering, if you could comment on sort of -- the sort of run rate by quarter in the back half. Should it look similar 3Q, 4Q? Or is there 1 quarter, where that's going to be down materially?
David Barger: Well, I think, you have to look at both kind of the first half and the second half of the year. The first half of the year, especially, in the first quarter, we had the impact of some winter ops. We, also, in the first and second half of the year, have a lot of training events, associated with the growth in the second half of the year. We also have kind of the maintenance a little bit more front loaded, so probably the third quarter will benefit more from a lot of that just because there's a big increase in ASMs in the third quarter. And we don't have as many training events or maintenance cycles during that period as well. So there's a lot of costs and investments we have incurred in the first half of the year that we won't have as significant costs in the second half.
Duane Fenningworth: Thank you.
David Barger: . Thanks, Duane.
Operator: Thank you. The next question is from Glenn Engel from Bank of America Merrill Lynch.
Glenn Engel - BofA Merrill Lynch: A question, really, on capital spending. And so I can understand that you really can ignore your return on capital goals in the short run because of the opportunities created by American and others withdrawing from Boston and the Caribbean. But at what point does ROIC really start to matter and you really can't justify spending when your ROIC is below target?
David Barger: I think we tend to take a longer term look at that. When you think about capital expenditures, the majority of our capital expenditures are really associated with fleet. And once fleet activities and commitments were made quite a long period ago, I think the right timeframe to look at that is maybe 18 to 24 months out as to whether you can reduce some of that. We did announce this quarter that we have opted out of some the E190 deliveries in 2013, so we're trying to realign some of that. But again, I think that we view ourselves still as a growth carrier that needs to make some of these investments in our network end markets. And so I don't know that it's appropriate to hold us at this point in time to a short term ROIC goal. Our goal, right now, is free cash flow.
Glenn Engel - BofA Merrill Lynch: And can you talk about your current views on LiveTV?
Edward Barnes: Glenn, Robin now has responsibility for that within JetBlue. Robin, just comments on LiveTV and ViaSat and what have you?
Robin Hayes: Sure. So the focus on LiveTV at the moment, in addition to the sort of core business is, increasingly, in the connectivity space, our partnership with ViaSat and the ability to offer Ka-band for airline customers for next year, I think, is a unique opportunity for LiveTV. And you would've seen that we have signed a MOU to provide a Ka-connectivity to the 737, 757 fleet of United. The old Continental aircraft, it's part of United. We have a lot of interest from other potential customers. Nothing of yet to talk about. And that is the team’s focus right now. We truly think that Ka-band will allow us to create a very different experience onboard for customers at a price point that is much more competitive than what they find from competitive products today.
Glenn Engel - BofA Merrill Lynch: And any change of views in keeping LiveTV within JetBlue Corp.?
Robin Hayes: At the moment, we're very focused on making that work as part of the JetBlue family.
Glenn Engel - BofA Merrill Lynch: Thank you.
David Barger: Thanks, Glenn.
Operator: Thank you. The next question is from Jim Parker with Raymond James.
James Parker - Raymond James & Associates, Inc.: Just from all I've heard so far, your commentary and your projections or thinking regarding RASM. Is it safe to say then that given all the fare increases, that thus far, there's really no resistance on the part of the traveling public to paying these higher fares?
David Barger: Jim, just a comment. Overall, I mean, it's been -- this is so different than 2008, and when we saw oil running back in 2008, and today, the crack spread at 30, 31. I mean, you just start talking about the economy and the strength of the economy year-over-year. I don't think we used the term robust, if you will. I think what we're seeing across the domestic landscape and into our international markets has been quite positive. When we look at the results of our cost of fuel, as Ed noted, $91 million more quarter-over-quarter in the first quarter, and really, our ability to share that with customers. And so quite positive. Robin, any additional comments, regarding what you're seeing?
Robin Hayes: No, not yet. I mean, that's something that we are very mindful of every time fare increase goes in. We do watch that very carefully. As of yet, we haven't seen any sign of demand being choked by these price increases. We're coming into what is always a strong time, as we head into the summer for us. And summer bookings, as far as we can tell, right now, seem to be on track with where we expected them to be. I think if there is any sign of weakness in the industry, we won't see that until the fall. But as of now, we haven't seen that.
James Parker - Raymond James & Associates, Inc.: And the second question, of course, a component of your growth strategy is the partnership program that you have with JFK, connecting with these international airlines. I'm curious, how does that manifest so far? What are you seeing? I believe you suggested that the fare will not -- will be the same as your local fare. Are you seeing that? And how is that going to be manifested? Higher loads, higher fares, or what is it?
David Barger: Jim, just a clarification as well, with the 9 partners that we now have, right with [ph] LAN and Virgin Atlantic in Q1, we anticipate announcing another one, actually, in the very near term. And so it's -- the clarification was not just Kennedy, obviously, the footprint that we have at Kennedy with our network but also Boston. Now we're starting to see Washington Dulles, as well as Orlando. And so this summer [ph] sector philosophy with what's happening with the 9 carriers has actually been very positive. I think of it as diversification too. It's not just Boston, it's not just the Caribbean and Latin America, but this diversification mainly across JFK and the ability to really attract first-time customers to us because heretofore it hasn't been easy, if you will, to have a seamless experience. Robin, from a standpoint of load or fares or thoughts regarding the partnerships?
Robin Hayes: No, that's exactly right, Dave. And the way I look at it is just another source of business that's going to drive our core demand. So of course, it will allow our revenue management team, as a result of that to yield up and optimize the flight according to demand. So clearly, where we create more streams of demand -- and because many of these sales are occurring in international markets, there's a high level of that, that’s incremental to us. That will allow us to yield up or load up or a combination of both. And that's how we looked at this space. Because we are very protected with the yield, we can manage it as a source of demand as if it’s coming into our own website.
James Parker - Raymond James & Associates, Inc.: Okay, thank you.
David Barger: Thanks, Jim.
Operator: Thank you. The next question is from Will Randow from Citigroup.
Will Randow - Citigroup Inc: You guys have talked about the desire to self-fund growth. So with the current high fuel price environment, you may see some, call it, free cash flow use with the 4 years delivery cadence. I guess, how do you think about a sustained -- higher fuel prices are here to stay and free cash burn creeps up? Would you look to adjust your fleet plan or find other ways to fund that growth?
David Barger: Will, I think, it's kind of a -- it's, obviously, a complex question. It depends. A lot of things that are dependencies on that, such as how the economy's doing, what the revenue environment looks like. So far, it looks like the revenue environment has been covering some of those fuel costs, and we'll have to see if that traction continues. But as I said, we kind of look at that almost 24 months out as probably the right time to start considering what your fleet actions might be. And so we'll pay very close attention to what's happening in the near term, and as we've shown before, we're not afraid to make the right fleet actions to fit what the network [indiscernible] for any particular year.
Will Randow - Citigroup Inc: So your goal remains to self-fund growth? That is what I'm hearing.
David Barger: It does remain free cash flow, yes.
Will Randow - Citigroup Inc: Okay. And then we talked about this before. I recognize the industry landscape has changed over the past years, particularly, seating density's increased at some of your competitors. I know JetBlue has an outstanding product in terms of seatback entertainment and other attributes. So that said, would you consider increasing seating density levels still better than your competitors, improve revenue per plane, returns on capital and to fund some of the desired capacity growth of schooling incremental CapEx?
David Barger: Yes. I would say, right now, we're very focused on the valued proposition, which includes our Even More Legroom cabin, as well as the best legroom pitch in the industry. I don't think that we're [indiscernible] that at any point in time in the future. I don't know, Robin, if you want to offer any comments on that.
Robin Hayes: I think, obviously, the last time [ph] that we won the matter on frequently -- additionally, adding seats on the aircraft does create some additional cost in terms of in-flight crew. And in addition, the EML is a runaway success for us. We're very happy with it. And so anything that we do to increase density, also, has to offset the gains we see through EML by having potentially less or no EML now seats. And so far, we think we’re optimized from a sort of revenue stroke cost of service delivery perspective.
Will Randow - Citigroup Inc: And sorry, I just wanted to follow up on that really quick. You said the math on the EML looks very attractive. Could you talk about that just a little bit, because I mean, you have as much seating fixtures [ph], some of your competitors have in the first-class cabin in your EML rows.
Robin Hayes: I think we've shown since we cut over to Sabre, and we have the ability to optimize EML packing by route, I think, we've taken advantage of that. We put in a number of price increases, the latest as recently as March. And we continue to see -- we've been able to do that without choking demand for the product. We have a number of things planned later this year. I talked about one of them in terms of fast-track security in selected airports. There's some other things that we are thinking and planning to do that we think will continue to build awareness of the product. And we think -- what we have is a simple, clean and effective product that allows us to offer a strong value proposition to customers at a price point that is compelling, whilst allowing us to deliver that simply and consistently and at minimal incremental cost. And we really think that is the sweet spot. As we talk to corporate customers and as we build our corporate customer base, increasingly EML is a product that they are learning about and finding very attractive.
Will Randow - Citigroup Inc: Thanks, guys.
David Barger: Thanks, Will.
Operator: Thank you. The next question is from Hunter Keay from Wolfe Trahan.
Hunter Keay - Wolfe Trahan & Co.: I hate to bring up the bag fee thing again, but I'm sure you saw American raise their second bag fee from, I think, it was $0 actually to $30 in the Caribbean just recently. So in my understanding, there's a lot bags that fly down there, and you guys are getting really, really good pricing. Have you given any thoughts to maybe pursuing a little more of an aggressive unbundled product down in that specific region just based on sort of what your competitors are doing?
Robin Hayes: Hunter, it's Robin. We are very pleased with our Caribbean performance as it is. We think we have the right product built for that market. Certainly, until that change some of our competitors made like in a couple of markets but I think at the moment, we see the Caribbean as a core part of the JetBlue network. We're going to continue to grow it profitably. And no plans to change anything right now to sort of unbundle anything from that.
Hunter Keay - Wolfe Trahan & Co.: Okay. Thank you. And I'm curious to know how you think about Spirit Airlines as a competitor, given their aggressive growth at Fort Lauderdale. It doesn't look like there's a lot of direct city per overlap, but the products are just so different, and you're both doing okay. But do you think that you get a measurable yield premium against them? Do you feel like you serve different customer bases? I mean, how do you think about them, just, specifically, out of the Fort Lauderdale market as a competitor?
Robin Hayes: A couple of things. Actually, I think, observation on Spirit out of Fort Lauderdale is actually -- they've been reducing capacity and redeploying that some out west, whereas we’ve continued to grow Fort Lauderdale. So I think that we feel very good about what we're doing down there. I do think the market really invested -- the market may be of Spirit and Southwest would attract are very different. I think with [indiscernible] our value proposition. And we think they have different customer groups. And I think our ability to continue grow in Fort Lauderdale has shown that we are successful in that segmentation.
James Parker - Raymond James & Associates, Inc.: All right. Thank you.
David Barger: Hunter, thank you.
Operator: Thank you. The next question is from Helane Becker from Dahlman Rose.
Helane Becker - Dahlman Rose & Company, LLC: Thank you very much, operator. Gentlemen, thanks for taking my question. Just on the cutover last year from Sabre to this year, can you comment on -- put some meat on the bones, with respect to: one, corporate travel revenue; and two, what the revenue improvement was on a dollar basis on a year-on-year basis?
David Barger: With the CSS, cutover though, we have with Sabre, obviously. We're a year beyond it right now. I don't know we're going to go, specifically, into really detailing what we're doing in the corporate world, number of corporate customers. I think we're very pleased with what we're seeing, the penetration through the GDS community into the corporate customer and what we're doing to enable that also in places like Boston. Robin, any additional comments that you want to provide on CSS?
Robin Hayes: I mean, I think, we talked about before the focus on us growing our corporate business has been out of Boston. I think we have been pleased with the progress that we're making there. Our percentage of bookings that come through the more traditional corporate travel agencies significantly increased, albeit off a very small base. And we expect to see that continue. We start Boston-Europe flights in May. And that's been a market where fares have traditionally been very high and has choked a lot of demand. So we think our ability to come in there and stimulate lower fares and additional demand , I think, is going to be welcomed by the Boston market. And we're going to continue to add relevance. We serve over 40 destinations direct to Boston, which I think is about twice as many as our nearest competitor. And I believe it’s right to say the most nonstop destination has been served by any airline at any time in Boston. So we're going to continue to do that. We haven't broken our corporate revenue, but what we have said is between 15% to 20% of JetBlue customers are flying business, and that number is higher in and out of Boston.
Helane Becker - Dahlman Rose & Company, LLC: So that number would be higher than 20%, in and out of Boston?
Robin Hayes: Yes.
Helane Becker - Dahlman Rose & Company, LLC: Okay. And can you say what you are hoping for in terms of either -- I don't know if you want to put sales or if you want to put in terms of share what you're hoping to get from the ability on Aer Lingus, American and Cape Air to book through jetblue.com. Is there some goal in mind that you can kind of talk about?
Robin Hayes: Yes, I mean, we haven't talked about specific numbers publicly. I think what we're trying to do is build the utilities at jetblue.com. We want that to be a place that our customers, particularly, our TrueBlue members can go and really have access to a virtual network through our open architecture platform. We think, increasingly, what you'll see is more frequent flier tie-ups to some of these partners that our TrueBlue members can earn and redeem points on a number of airlines around the world. And I think it's just one of a numbers of enhancements that we have planned for jetblue.com. Although we do distribute [indiscernible] to other channels, our focus is very much we’re making jetblue.com the preferred place for our customers to come to book JetBlue travel.
Helane Becker - Dahlman Rose & Company, LLC: Great, thank you very much.
David Barger: Thanks, Helane.
Operator: Thank you. The next question is from Dan McKenzie from Hudson Securities.
Daniel McKenzie - Hudson Securities, Inc.: Thanks for the competitive capacity comments. That's something I look at as well. It looks like AMR is handing over quite a bit in Boston and San Juan, so congrats on the strength of the brand. But looking ahead, the competitive landscape is evolving pretty dramatically given the Southwest-AirTran merger, that kind of precedent, setting low-cost competitor merging. AMR's growing 21% at JFK. It looks like they and Delta are pretty serious about calling back the market share JetBlue has taken. And you've got Virgin growing 35% in the third quarter. Just a portion of that in JetBlue's market, so it does look like there is some incoming here. So can you update us on how you're thinking about your strategic position versus any potential need for greater critical mass to compete looking ahead?
David Barger: Dan, you’re right. There's an evolving landscape. And you detailed it nicely. I mean, whether it's AirTran, Southwest. By the way, we compete with both of them today in our markets. It's going to be a single brand over the course of whenever it becomes a single brand. Some changes that are taking place at JFK, some on the transcon as well. But I think, just globally, this focus that we've had on Boston -- we weren't there 7 years ago. We're over -- we're at 100 trips a day and moving north of that. And working with Massport's really secured the proper infrastructure on the ground to support what we're doing. It has taken a lot of capacity to date, and it has earned the right to take more capacity, going into the future with what we're doing there with the 42 nonstops, the partnership traffic, our relevance in Boston, I mean, in Latin America as well. The markets that we've opened, for example, my comments about Providenciales and the Turks & Caicos, it was immediately recognized and contributed into what we're doing, a very positive way, and we see more markets alone those lines. So I think, again, strategically, we're not wavering from the standpoint of our commitment to Boston and one [ph] of our commitment to the Caribbean and Latin America and additional flying that we'll be doing there with additional new aircraft that we're taking this year. This partnership diversity, I think Robin's comment about the utility of the route system and really seems what we're doing at JFK has been also very positive. You commented about the transcons, and that is certainly something that's very, very important to us as well from Boston, from the New York, whether we're doing it in Washington from Florida, right? We don't fly to just one city in the Bay Area or just one city in the Basin. We fly to multiple cities in that part of the world. So we're not wavering terms of our strategy. It's interesting to watch the landscape that's happening around us, and I think the opportunities that we’re creating as a result of our commitments in places like Boston and down in the Caribbean and Latin America. Robin, any additional commentary?
Robin Hayes: Back to you, Dan.
Daniel McKenzie - Hudson Securities, Inc.: Okay, thanks. So the brand's strong enough to go at this point, it sounds like. And then based on a quick glance at the schedules dated this morning, it looks like about 18% of JetBlue's capacity will be in new markets in the second quarter. And I just wonder if you can give some perspective on whether these are markets that are going to be the traditional one-year just blow-up [ph] markets? Or have you seen any data points that lead you to conclude that these markets could potentially just blow up [ph] more quickly.
Robin Hayes: Yes. Just to talk about your comment about the 18%. I'm not sure how you are defining a new market. That number seems high to me.
Daniel McKenzie - Hudson Securities, Inc.: Fair enough. Okay.
Robin Hayes: That 18% was related to -- the 18% that Dave mentioned earlier related to our understanding of other airline capacity on the Caribbean. Or I don't know whether your 18% is the same 18%. I mean, we've added Providenciales in steadily, we have our couple of markets we are adding in May from San Juan, Jacksonville and Tampa, but they relative modest numbers. Then we have Boston, Europe, which is 4 times a day. So far, we really have Anchorage with a red-eye and Martha's Vineyard. I think that's it in terms of new markets so far this year, so the 18% seems high.
Daniel McKenzie - Hudson Securities, Inc.: Well, I'm happy to circle back in there. But it sounds like at this point that the new services is ramping up okay?
Robin Hayes: I mean, Providenciales, as I think Dave said, we had a wonderful February, and both of those, Boston and JFK, was launched straight into profit from day one.
Daniel McKenzie - Hudson Securities, Inc.: Thanks a lot. Appreciate it.
Operator: And the last question is from Steve Wilder from Capstone Investments.
Steve Wilder - Capstone Investments: I want to piggyback on an earlier question. You and other carriers have been saying that there's little price-sensitivity in your overall system. But could you give us some more color on price sensitivity for business versus consumer travelers, maybe based on advance bookings or breaking it into consumer-related markets like Lauderdale and Vegas versus business-related markets like New York and Boston?
Robin Hayes: No, Steve, I mean I'll start very simply by -- at the moment I wouldn’t draw a difference in either of those segments. We're seeing both of those segments hold up pretty well. And again, I think, one of the unique things about JetBlue and our sort of value proposition, even if times get tough for corporate and there's a retreat to value, I think we provide a great solution. And I think this deal, if I go back to the sort of financial crisis at the end of 2008 and the way that a number of companies kind of relooked at their business travel as a result of that, I think many of those played [ph] with carriers like JetBlue have really become permanent. And again, our leisure base is very diversified between visiting friends and family and leisure [indiscernible] only, the JetBlue Getaway packages and all of those are holding up very strongly right now.
Steve Wilder - Capstone Investments: Okay, thank you.
David Barger: Steve, thank you.
Operator: This concludes our session with investors and analysts. With that, we will turn the call back over to Dave Barger for closing remarks.
David Barger: Thank you very much, Sandra, and for those of you, who are joining us today or are listening on the webcast. We very much appreciate you joining us for the first quarter. Thank you again to our crew members. And we'll talk to you again after the second quarter. Thank you very much. Have a great day.
Operator: Thank you ladies and gentlemen. This concludes today's conference. Thank you for participating. You may now disconnect.